Operator: Please stand by your meeting is about to begin. Please be advice that this conference is being recorded. Good morning and welcome to the IGM Financial Third Quarter 2015 Earnings Results Conference Call for Friday, November 6th, 2015. Your host is for today's call is Paul Hancock introduced by Jeff Carney. Please go ahead, gentlemen.
Jeff Carney: Good morning everybody. I'm Jeff Carney, President and CEO of Mackenzie, and Co-President and CEO of IGM Financial. I'm joined by Murray Taylor, President and CEO of Investors Group, and Co-President and CEO of IGM Financial. Kevin Regan is here, who is the Executive Vice-President and CFO of IGM Financial. And finally, we are also joined by Paul Hancock, our newly appointed Vice-President Finance and Investor Relations, and Paul he will be leading off our results call in the future and I'm going to pass it over to Paul.
Paul Hancock: Thank you, Jeff. Before we get started, I'd like to draw your attention to our cautions related to forward-looking statements on page three of our presentation. Non-IFRS financial measures that are used in this material are summarized for your reference on page four. Finally on page five, we provide a list of documents that are available to the public on our website related to the third quarter results for IGM Financial. Jeffrey Carney will now take us through a summary of IGM Financial's results, the industry environment, and Mackenzie Investments' results. Jeff?
Jeff Carney: Thanks Paul. So, if we turn to page seven, our operating earnings for the firm, 199 million during the quarter and operating earnings per share were $0.81, that's down 6.9% relative to the third quarter of 2014. Yesterday, the Board declared a dividend of $0.5625, maintaining the level of the dividend. This implies a yield of 5.9% based on yesterday's close of $38.19. Turning to our gross sales, the IGM's mutual funds and gross sales were 3.5 billion during the quarter and 11.9 billion year-to-date. Turning to slide nine. IGM Financial's mutual fund net sales during Q3 2015 were 9 million and 49 million year-to-date 2015. Turning to our asset under management on page 10, Mutual fund assets ended the quarter 124.9 billion, that's a decrease of 0.2% relative to last year and down 3.7% from last quarter's results. Looking at our industry long-term mutual fund assets. Industry long-term mutual fund assets declined by 2.1% during the third quarter. And turning to slide 12, the advice channel had strong results across all metrics. Gross sales and net sales increased during both the third and year-to-date -- third quarter and year-to-date. Turning to slide 13, you can see that total net sales of long-term funds in the advice channel were little changed year-over-year. The composition shifted towards foreign equity funds, which is favorable given Mackenzie leading position in this space. Turning to recent developments, there were two new studies that were published in September and October. These reports will be used in conjunction with prior studies to inform discussions on the mutual fund fee review. Published in September, we had the Ontario Mystery Shopping exercise identified the majority of the experiences in the study were positive and consistent with regulatory requirements. And then the report by Professor Cumming which was published during October. We are reviewing this report to understand the research process and findings. The analysis focuses on individual funds which may differ from client experience and the client experience is of primary importance. The CSA has indicated that they intend to comment on the study by Jan 2016 which will stimulate further discussion and ongoing regulatory dialogue. On page 15, IGM Financial mutual funds AUM declined due to weakness in equity markets during in August and September and during October mutual fund AUM decreased 2.4% and was 127.9 billion at the end of the month. Turning to the mutual fund assets under management, IGM mutual funds average AUM during the quarter 128.6 billion, that's up 1.9% relative to Q3 2014 and down 2.1% from last quarter. Slide 17 and 18 provides a summary of our operating earnings and earnings per share over the last five quarters. Please turn to slide 20 where I will review Mackenzie's results for the quarter. Mutual fund growth sales were 1.5 billion during the quarter, up 4.8% from 2014 and the highest level of third quarter sales since 2008. This was a very strong quarter for Mackenzie and especially when you look at the breakdown of where the sales came from on slide 21. So, let's turn to slide 21. If I could draw your attention to the left-hand table I have three observations to make. As I already mentioned, the net flows in the advice channel have shifted to the foreign equity category where Mackenzie is very well-positioned and is in fact the market leader. Compared to Q3 2014, Mackenzie has seen a 42% increase in foreign equity sales. We've seen strength in a broad array of global equity mandates, including Ivy, Global Dividend and other growth oriented funds. This significant growth has more than offset the decline in the income-oriented category which as I mentioned in previous calls has been caused by the currency hedging decisions versus our peers in the floating rate funds that were adversely affected by the depreciation of the Canadian dollar which experienced tremendous volatility in the year. In addition, we've seen significant sales into the balance category a focused area for us with 631 million during Q3. This includes our balance funds as well as symmetry managed asset program which is stickier long-term money and provides turnkey solutions for clients and advisors. We have a significant opportunity going forward to continue to grow the balance fund assets at Mackenzie. On the right had side of the chart, you will see that the assets trends are presented as proportionate share of our long-term growth sales. Turning to slide 22, Mackenzie's redemption rate was on a long-term mutual funds was 14.2% as of September 30th, 2015, excluding identified fund allocation changes. And asset retention remains strong and better than our peer group. On slide 23, you can see our long-term growth sale trends are improving through the third quarter. On slide 24, our total investment product net redemptions were 126 million during Q3 2015. Mutual fund net redemptions were 180 million, a 27 million improvement relative to the third quarter of 2014. And looking specifically at foreign equity, we saw 164 million improvement in net sales. If we were to exclude Cundill, which is our deep value fund family that has been impacted by the broad-based underperformance of value-oriented equity strategies, our total mutual fund net sales would have been a positive 98 million during the quarter with the support of all other products. Turning to slide 25, Mackenzie's risk adjusted performance as measured by Morningstar has 68% of our assets rated three stars or better. During the quarter, we had a number of significant funds upgraded to five stars two in the foreign equity category and two in the balance category. Ivy Foreign Equity, our largest fund and Ivy Global Balance fund were both upgraded to five stars. Collectively the funds represent 13% of our assets and are positioned well to attract flows in the coming months. This week we received a Lipper Award for the Mackenzie Canadian Growth Balance Fund which was also upgraded to five stars. On slide 26, Mackenzie's three and five-year relative investment performance improved during the quarter of 2015. We now have 52% of mutual fund assets rated in the top two performance quartiles over five and 10 years and for 10 years, we're over 58%. Turning to slide 27, Mackenzie's average mutual fund AUM was 49.2 billion during the quarter, that's down 0.2% relative to the same quarter last year and our total average AUM declined 12.6% relative to Q3, 204. And just as a reminder on June 5th, MD Financial Management reassigned asset advisory responsibilities on for core fixed-income mandates that were advised by Mackenzie. The mandate 10.3 billion in assets, and the impact on earnings, as we had mentioned back then were not meaningful given the scale of the relationship and nature of those mandates. Mackenzie continues to advise MD on a number of fixed income balance and equity mandates going forward. Turning to our earnings -- Mackenzie's operating earnings before interest and taxes 54.5 million during the quarter. On the next page, you can see the breakdown and I'll make some comments on these. Our management fees decreased by 4.1% and that was due to the pricing changes made to the retail mutual funds which became effective on September 29th, 2014. This will be the last quarter that the 2014 price changes will be included in the year-over-year comparisons. When compared to the second quarter of 2015, management fees declined the same percentage as average mutual fund AUM. Our Q3 2015 administration fees declined 9% relative to the prior year and as I noted in the last call, effective April 1st, 2015 as part of the retail pricing changes announced last October we discontinued the mechanism that we had introduced in 2007 which maintained our min fees at a pre-specified floor. This adjustment was just under $1 million during Q1 2015. Non-commission expenses 71.5 million during the quarter, that's up 5.9% from last year. Looking ahead to the final quarter of 2015, we expect non-commission expenses comparable or less than the Q4 of last year. This is consistent with my previous comments regarding the increase in full year 2015 and we still expect this to be around 5%. Turning to Mackenzie developments, in October, we relaunched the Mackenzie Investments brand with a new message to market confidence in a changing world. We did a really deep research into advisors and investors and our colleagues across our organization and we felt that with the changes we made over the last two and a half years that we were ready to tell the market visibly that we had transformed this company and this was the best way we could do that. But we also wanted to modernize and show that Mackenzie was an innovator and really position us as the market leader in our competitive space and this brand relaunch as a big part of that. We were thrilled to get that out into the market and it has been positive received internally and externally. On the investment management side, we hired new talent. So, with Rick Weed joining us, he comes from the U.S. He had a long tenure at Putnam and also spent time at F-Squared. He brings a rigorous and disciplined portfolio construction process through his quantitative strategies and capabilities and is very a unique investor that's going to enable us to leverage his skillset going forward with a lot of innovation. He immediately is responsible for about $1 billion of our large cap Canadian growth capability and we look forward to updating you on Rick's success as we go forward. On the product enhancement side, we launched Mackenzie Diversified Alternatives Fund. This is the most diversified product in the marketplace today, and it uses 14 asset classes to provide exposure to non-traditional asset classes that are generally used by institutional investors. And this product is really built to complement the large asset pool and balance funds in Canada. And we think that -- we know actually, that if you combine our new product with balanced, traditional balance funds across the marketplace, that you will get a better risk adjusted and return profile for the end investor. So, we are out there positioning this as a complement to balance fund category and we think it's a very unique and a very powerful offering for the marketplace. And that concludes my remarks and I will pass it over to Murray Taylor.
Murray Taylor: Thank you, Jeff. Well, turn to page 32. We had another good quarter of growth in the consultant network, ending the period at 5,221, another record in history of the company. On slide 33, we had continued growth in sales, coming in at 1.8 billion for the quarter and 6 billion year-to-date, both of which were record highs in the history of the company for those periods. On page 34, you can see that our trailing redemption rate has continued to stabilize at 8.4%, again, well below the industry perspective. Page 35. Net sales up substantially, at 139 million for the quarter and close to 300 million for the nine-month period -- up 300 million to 754 million, very, very good and strong growth there. Slide 36 gives a sense of the trailing statistics on growth sales, redemptions, and redemption rate and again you can see a record high in the trailing perspective going straight up since our pricing changes in 2012. Slide 37 highlights our client experience through the rate of return lens and I'd remind you that we have now been reporting for the second time to our clients on a quarterly basis under the new CRM2 rules, a multi-period account rate of return. And so when our clients receive the statements at the end of September, notwithstanding the market actions during the quarter perhaps being somewhat mixed and represented here at 3.1% median negative return, our clients were able to see what their overall return was for the prior year, for the prior five year years and perhaps even longer for many clients. And so this is a new robust communication tool and this particular quarter was a classic example of how that can be used very, very effectively as consultants work with clients. Our year-to-date median return is just below zero at 0.9% and that gives you some reflection on client's investment experience. Slide 38 gives a summary of our trailing four quarters, 12 months, collective view of our survey results for both new clients on the left and existing clients on the right. They continue to be extremely strong and positive results, speaking to the loyalty and the servicing that our consultants work with their clients on every day. Slide 39 summarizes our growth in insurance, up about 11% on a year-to-date basis from last year. And on the mortgage side we see a bit of a drop. Two perspectives, one, in 2014 we had a substantial increase in the spring when our rate came down to 1.99% as you may recall. But the other factor, which I will speak about in a moment in a little bit more detail, is a new complementary product we're offering through solutions banking as well. Slide 40 shows average assets under management at 75.4 billion, up slightly from the year before. Slide 41 shows our earnings before interest and taxes, decreasing somewhat from Q3 of 2014 but up slightly from the prior quarter in Q2. A little bit more detail on page 42 and I'll comment on a few of the lines here. The average mutual fund assets under management were up 3% and we would compare that number to the 0.6% increase in management and administration fees. The differential between those two, of course, is the impact of accelerating the movement of eligible clients into lower fees for households in excess of 500,000 that we identified to you in the prior two quarters. If we go down the page, we can see that noncommission expenses are up 12.6% and that as it is noted a significant component of that, of course, is in relation to our pension expense which has been uniform throughout the year and recalibrated year end for next year. The amount excluding that is up 10.4% and on a year-to-date basis; we are running at about 9.5%. We expect the number and the end of the year to be below that level in terms of the full year. As we have made mention in the past, we've been growing our consultant network substantially. We've been investing in investment management. More recently significant investments in a new advertising campaign which I'll describe to you in moment and other aspects of our business that we are developing for the future. Page 43, we launched during the quarter -- during the middle of September, a new national advertising campaign focused on memorable events with the tag line Invest in Life. This was done both through traditional media and social media and extensively through the internet. We are focusing on all of the elements of our financial planning, but really dealing with the emotional attachment that people have with what money can do in their life. The consultant network growth as I've said was at an all-time high at 5,221. During the summer, we mentioned in the past, we introduced the Maestro portfolios under the leadership of Les Grover [ph], which involved dynamic asset allocation. We had an amazing level of success and interest in this product which is three different funds based on your suitability level in terms of mix of fixed income and equities and that -- those parameters. We're sitting at the end of the quarter at 225 million and it has continued to grow at similar pace even into October and November now. As I alluded to earlier, in the spring, we introduced in cooperation with the National Bank under the Solutions Banking Program, a new all in one product which combines a client's mortgage with their line of credit into one product and one application and one credit adjudication. And this product is providing actually a diversified -- a diversification of our mortgage capabilities and actually gives us further diversification in obviously funding of those. We originate mortgages ourselves. We manage the funding through various sources as we discussed in the past and this gives us a way to actually significantly increase our level of involvement in marketplace through our consultants into the future and in a very innovative way that's been extremely popular amongst high net worth clients. And so we don't give direct sales results on this particular item, but it has had substantial interest since launch in the spring and we're very, very pleased with the results. And then finally, a summary for you. Close to 37% of our mutual fund assets are currently within high network pricing structures or unbundled fee structures, all aimed toward high network part of our business and that very active growth component within our business. And then also, to keep tracking on those products, Series U and iProfile, which have unbundled fee structures where the advisory fee is separate from the manufacturing fees which are part of the mutual fund pricing and we're currently at 4.7 billion. We've seen 120% increase in the asset level of products in the last year. And at this moment they compose 6.4% and rising of the entire mutual fund asset base. I will now turn things over to Paul to give you a quick summary of events coming up.
Paul Hancock: Thank you, Murray. Just on the final slide a reminder that IGM Financial's first ever Investor Day will be held November 20th in Toronto. Registration and continental breakfast begins at 7:30. If you haven't registered for event we will be sending out a reminder this coming Monday. So check your inbox for that. This will be an excellent opportunity to hear management teams of our three operating companies discuss short and long-term strategy and priority so we definitely encourage you to attend this inaugural event. At this point, I'm going to turn it over to Rob [ph] for questions.
Operator: Thank you. We'll now take questions from the telephone lines. [Operator Instructions] Your first question is from Gary Ho from Desjardins Capital Markets. Please go ahead.
Gary Ho: Good morning. Just two questions from me. First on the pension expense, Murray or Kevin, now that we are almost through the year I wonder if you could comment whether we'll see similar pension expense for 2016 or is it just still too early to tell?
Kevin Regan: It's relatively early, but I mean we watch interest rates movements on an ongoing basis and if things remain where they are today, you wouldn't see a substantial increase in the expense into next year. But obviously we benchmark that at year end as Murray suggested. But for now, it would be pretty consistent type thing for 2016 as it is for 2015.
Gary Ho: I thought that was mostly one year things, so are you saying the pension expense will continue into 2016, is that correct?
Kevin Regan: Yes, that's correct.
Gary Ho: Okay.
Murray Taylor: And just add on, it's Murray, obviously, we won't get a subsequent increase if interest rates stay where they are. So, we won't see that next year. We could possibly have a decrease to the extent that interest rates are higher than when calibrated last year and here's hoping.
Gary Ho: Yes. And then my second question is more a broader question. And it's from an outsider looking in. It appears that the company that putting more emphasis on have more communication with shareholders and having the Investor Day is a positive step and we are seeing more of that from your sister company, Great-West as well. I'm just wondering if that assessment is correct, one. And what is the driving force behind that and kind of discussion at the board level?
Murray Taylor: It's Murray. I think the observations that we should try to do more in communicating our message, has come about in a number of ways. I think if we go back a year for example, a year ago today was probably our longest call in the history of the company if not the history of your coverages because we felt that there was some issues and topics in the regulatory world for example that needed a little bit more time and digestion. We're embarking in all of our companies here within IGM on some pretty strong and we believe very, very good strategies that are going to be helpful in the future. We touch on them during these calls in a very brief way, but we would like to have a greater opportunity to tell our story in a more wholesome way. I talk about the Investors Group consultant network and it is commented on by many analysts as being a jewel or a wonderful component of our business. But, this type of call doesn't give me a lot of opportunity to explain really why that is so true. And so with all of those things in mind and then recently as you observed today, we brought Paul Hancock in to head of our Investor Relations. Paul comes to us as many of you may know from being a portfolio manager for 25 years with our company. He has a lot of understanding in the entire world of Investor Relations communication and I think will be an asset to you in communication and dialogue and so forth. And then as many of you would know, we hired a firm to give us some insight into these things some time ago. And so I would suggest it is a collection of all of those things that have led to I think some well served advice to have an Investor Day was the way to have that amount of time to tell those stories. So that's the background.
Gary Ho: Okay, great. Thanks for the color.
Operator: Thank you. The next question is from Geoff Kwan from RBC Capital Markets. Please go ahead.
Geoff Kwan: Hi, good morning. Jeff, you talked about the redemptions at Cundill. And they have persisted for a while and the performance hasn't been as good as I'm sure what you would have expected. I'm just trying to get a sense is it really more of a market issue and not working with the strategy or there are things that you think that can be done to improve the performance and sales performance
Jeff Carney: On the investment side, deep value has struggled as a category and then we struggled more and every portfolio as you know and every portfolio manager goes through good times and sometimes struggles. So, there is no macro issue. It's more stock selection and the category itself. But we also are always looking at how we can help our teams to be as successful as possible and have the resources that they need. And so we've been doing thinking on that and look forward to that going forward. Cundill is a jewel for us and it's an outstanding brand and a lot of assets over time and we're going to do everything we can to continue to grow it and make it an important product in investors' portfolios. It delivers something that is very unique in portfolios. It's differentiated for us and it's just going through a cycle like you experience in every business. But we feel optimistic about the future of Cundill.
Geoff Kwan: I'm sorry, I just wanted to clarify. You're in the process of reviewing if there may need to be some tweaks here or you have actually kind of gone down that road and there is more to do.
Jeff Carney: We've done some, but there is more to do.
Geoff Kwan: Okay.
Jeff Carney: I look forward to updating you on that as we go forward.
Geoff Kwan: Okay. And just the other question I had is on the institutional strategic partner side, if you could maybe talk about where the pipeline sits today versus what it looked like a few months and in particular with the increase in the terms of demands on the global product, and Mackenzie's kind of what's it's called, strength in that side. Is there a way to kind of capitalize that? Are you seeing the same kind of trends in that part of your business?
Jeff Carney: We're definitely getting more meetings, but I'd rather be talking to you about more sales. So, I haven't been spending that much time to talk about the institutional business. But I'd say that I'm encouraged by the discipline of our approach and that we're getting to the right opportunities. And we're certainly getting more looks than we have historically so our funnel of conversations and things has gone up. But I still think it's early to sort of say that we've, there will be a massive amount of growth in the next little while. We continue to get great support on the institutional side from relationships with IGM and Great-West and IBC and our internal companies, that's a huge help for us as those businesses continue to grow and we benefit from that obviously.
Geoff Kwan: Okay, great. Thank you.
Operator: Thank you. The next question is from Tom MacKinnon from BMO Capital. Please go ahead.
Tom MacKinnon: Yes. Thanks very much. I got on the call a little late, so I'm not sure, Murray, if you gave your reaction to the Doug Cumming report. Yesterday we heard a competitor say that they thought the conclusions were a bit misinterpreted. So I'm curious to hear your takes.
Murray Taylor: Sure. We did a quick summary at the front end when Jeff Carney was speaking, but happy to discuss it. Obviously, it's something we are taking a very good look at. And as you know, we're very, very positive about research and the fact that the CSA is doing research and this comes as one more component of that. The conclusions that Doug Cummings came to do run the risks of being quite misinterpreted. I think one has to look at the actual report to understand the narrow scope that he followed and understand the conclusions within that context. One broad observation that would I make that I believe Doug Cummings would completely agree with is that his report deals with the dynamics of a particular fund at a particular point in time, it does not deal with what I would call the best interests of a client. And so what still what is sort of yet to be understood is even some of the comments that are made in terms of whether the regression that he comments on between sort of a following recent performance and cash flows and so forth should or shouldn't be what's best in the interest of the client. For example, if you go back over the course of time, we know that in the U.S. where fee-based accounts are the norm, the cash flows during the financial crisis went significantly from equities into bonds. And everyone would look back during that period of time and say it followed the formulas, if you want, that Doug Cummings has used as sort of his standard that says you've got better performance, so it should attract more money and if you've got worse performance you should redeem. And yet when you look back over the course of time, that's not how clients were well served. They were well served by holding in and maintaining the asset mix, having a conscious decision to do so. Other examples I would give you would be non-registered tax planning. Moving money out a fund when you have a significant embedded capital gain is not smart financial planning. So, all these -- I'm just giving you quick examples. What's best for the client is much more complicated discussion. And so, his research is going to be useful. I think his headlines don't particularly -- I think they can be blown out of proportion by somebody who doesn't read the report and study the report itself, and I'm very confident that the regulators in fact will spend time on the report itself, understand its limitations -- what it covers and what it doesn't. And I think all has to be interpreted in the light of a very, very important statement in that we have in our report in 2014 in the Brondesbury report that came out in June which said in our view, no empirical studies have been done to document whether investors have greater after-fee investment returns with fee-based compensation instead of commission-based compensation. So, that research has yet to be done if it is to be done. But that is that conclusion that we believe is the most important. And so, in our dialog with regulators and our dialogue within the industry and with all of the various research components, I think that's the nature of the discussion.
Tom MacKinnon: Thanks very much for the color.
Operator: Thank you. [Operator Instructions] Our next question from Graham Ryding from TD Securities. Please go ahead.
Graham Ryding: Thank you. Maybe Jeffrey, I could start with you. Previously you mentioned you were looking possibly at the active ETF space. Wondering if there is any update there? And just your approach to penetrating the iRock [ph] channel. Is that part of thought process there? And what is your strategy to improve your traction within that channel?
Jeff Carney: Thanks for the question, Graham. I spent a lot of time looking at that space both in the U.S. when I was there, and in Canada and its obviously evolving. And our belief is that we should be structurally neutral and really look at what our value-add is in whatever structure we choose to do. So, can we add value in the active ETF space? I thank we believe we have a lot of talent that certainly can do that. And then to your point about strategy, I do think that playing the space, the active ETF space, would allow is to get into more front offices when it comes to the iRock [ph] story and it certainly gives us a unique advantage. So, then it comes down to do you have capabilities and products that are differentiated and work in an ETF structure and fits with liquidity issues and everything else that you have to do? So, what I would say to you that we look forward to -- this is a way of getting everybody to come to the Investor Day but we look forward to updating you at the Investor Day on that strategy when it comes back to ETF and I will share it with you at that moment.
Graham Ryding: Okay, great. And there's some thought or suggestion that there is structural issues within that channel where advisors operating on a discretionary basis are less inclined to use mutual funds because they can't do a block trade for all of their clients, is that part of the issue when independent companies are trying to penetrate that channel?
Jeff Carney: I think it's a piece of the issue, but I wouldn't launch this capability just for that because that would be a mistake. There are so many benefits to mutual funds in different ways. And so the block trading is a convenience issue and it has some value, but if that's the only value, I don't think that that's the story here. I think it's that -- the ability to trade throughout the day, the types of product that are being launched in the space are being differentiated and unique and not just copy cats of your the existing funds and playing more in the smart data space and more in the quantitative field than it is in the traditional active management. There are some traditional parts in the market, but it's a more complicated execution than smart data is. And so I think you'll see different firms look at it differently. You certainly expect it and we'll be in that at some point.
Graham Ryding: Okay, great. Murray, I just wanted to confirm that the transition of client assets into the high net worth funds and whatnot, that has all played out and was there any further distributions related to that or is that all behind us? 
Murray Taylor: That all was complete during the quarter, as we had expected. Clients received their statements at the end of September with those amounts included and referenced, and so the distribution is completely behind us and the movement of clients over is within a hair of 100%. And so we feel very, very good about that program and progress.
Graham Ryding: And the -- I notice you made a bit of headway on the overall investment performance or the percentage of AUM three star or better. What is behind that? One fund in particular or seeing that in a few areas?
Murray Taylor: No, two years ago we brought in Jeff Singer as our new Chief Investment Officer. He's been working through the program to improve the investment performance at a fund-by fund-basis. There has been movement and hiring of portfolio management and reassignments and finding the best fit for every single fund. That program has been I think well executed over the last couple years. We have been introducing through this year, a very effective risk measurement tools and alpha measurement tools. And so I would describe our success as a continuous alpha improvement. We're less inclined to compare ourselves to the competition and the reason for that that although we want to look at what's going on we find that very often -- if I give you the Canadian equity category as a classic -- within that category, we will have several funds that participate. We do not give our managers freedom to roam in that area in terms of Canada versus U.S. in terms of style, et cetera because we want a sense of predictability around each of the mandates. As our consultant mix funds together for their clients, they don't want to have each fund roaming for yield for example. And so the Canadian category, when you compare funds amongst it, it's really a dog's breakfast if I might use that term, because you can have up to 49% -- anywhere from 10% to 49% foreign and in many cases that has been 49% U.S. You can have the entire spectrum of growth, value, GARP, every type of style you with imagine within that pretty much in the Canadian equity category, and so comparing on that basis is very rudimentary. Hence, we've been focused more internally on the focus of where we're delivering alpha and that alpha is improving substantially. And we will be saying more about that at Investor Day and in coming quarters as well.
Graham Ryding: Great. Appreciate the color, thanks.
Operator: Thank you. There are no further questions registered that the time.
Paul Hancock: Thank you for your attention everybody, then. At this point, I think we're going to end the call. Have a great weekend and we certainly look forward to seeing you at Investor Day.